Executives: Simon Moore - Director of IR Seifi Ghasemi - Chairman, President and CEO  Scott Crocco - CFO  Corning Painter - SVP and GM, Merchant Gases Steve Jones - SVP and GM, Tonnage Gases, Equipment and Energy, and China President Guillermo Novo - SVP and GM, Electronics, Performance Materials, Strategy and Technology
 :
Analysts: Vincent Andrews - Morgan Stanley John McNulty - Credit Suisse Duffy Fischer - Barclays P.J. Juvekar - Citibank Jeff Zekauskas - JPMorgan David Begleiter - Deutsche Bank James Sheehan - SunTrust Bob Koort - Goldman Sachs Kevin McCarthy - Bank of America/Merrill Lynch Mike Sison - KeyBanc Laurence Alexander - Jefferies Don Carson - Susquehanna Financial Mark Gulley - BGC Partners 
Operator: Good morning, and welcome to Air Products and Chemicals’ Third Quarter Earnings Release Conference Call. (Operator Instructions) Also, this telephone conference presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Air Products will be recording this teleconference and may publish all or a portion of the teleconference. No other recording or redistribution of this telephone conference by any other party are permitted without the expressed written permission of Air Products. Your participation indicates your agreement. Beginning today’s call is Mr. Simon Moore, Director of Investor Relations. Mr. Moore, you may begin.
Simon Moore: Good morning, everyone, and welcome to Air Products’ third quarter 2014 results teleconference. This is Simon Moore, Director of Investor Relations. I am pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our CFO and our senior business leaders. After our comments, we will be pleased to take your questions. Please limit yourself to one question and a follow-up. We issued our earnings release this morning. It’s available on our Web site along with the slides for this teleconference. Please go to airproducts.com to access the materials. Please turn to slide two. As always, today’s teleconference will contain forward-looking statements based on current expectations and assumptions. Please review the information on this slide, and at the end of today’s earnings release, explaining factors that may affect these expectations. Now, I am pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you very much Simon and good morning to everyone. Thanks for taking time from your busy schedule to be on our call. We do appreciate your interest in our company. Let me first introduce our team who will be participating in this call; Mr. Scott Crocco, our Chief Financial Officer; Mr. Corning Painter, who is responsible for our Merchant Gases; Mr. Steve Jones, who is responsible for our Tonnage Gases, Equipment and Energy; and Mr. Guillermo Novo, who is responsible for Electronics and Performance Materials. Now please turn to page three. I believe that at this point it is necessary to answer the question that many of you have already asked me or Simon before this call. And that is why did I take this job? I am here because I believe that Air Products has the people, technologies and geographic footprint to significantly improve its performance. I consider it an honor and a privilege to lead and be part of this exciting time here at Air Products. During the 1980s and early 1990s, I worked at another industrial gas company. During that time, we always compared ourselves to Air Products. Since Air Products was the best industrial gas company in the world. I had during that time a great deal of respect for Air Products’ people and its leadership. I do believe Air Products has the potential to regain its leadership position.  During the past three weeks that I have been officially here on the job, I have met more than 1,000 of our employees in small groups of 50 to 60 people to listen to their suggestions and answer their questions. As a result of what I have seen and heard in these meetings, I am excited, encouraged and enthusiastic about the future of Air Products. I see a team of talented, dedicated and committed people who are ready for change, they are ready to deliver results and they want to regain the respect in the industry that they deserve. With the full support of our Board of Directors and the enthusiastic participation of our talented, committed and dedicated employees, we will move forward to create further value for our shareholders. Now please turn to page four, so that I can explain some of the key principles that will guide us in managing our future. First, we believe that cash is king. We will focus our efforts to generate cash. You will notice the use of EBITDA in presenting our results and measuring our performance in the future.  Second, I consider capital allocation to be a very significant part of my responsibility. We will only allocate capital to projects and activities that will create significant value for our shareholders. This leaves to the third point that in the long run the growth in the per share value of our stock is the true measure of our performance. Sales growth and corporate size is of no value if it does not result in an increase in the per share value of our Company stock. And the fourth point is that we believe high performance people want to be giving clear goals and be empowered to make decisions. A decentralized organization will create lines of responsibility and accountability is the best way to unleash our best people to lead at all levels of the organization and deliver results. So with those comments, I would like to now turn the call over to Mr. Scott Crocco, our Chief Financial Officer. Scott?
Scott Crocco: Thank you very much Seifi. Air Products delivered on our commitments in Q3. Our earnings came in at the top end of the guidance range we shared with you in April. We are focused on execution recovering the adverse weather impacts from Q2, bringing our plans on-stream, on-time, on-budget and safely, delivering on our cost reductions and loading the assets we have in the ground. As Seifi said, we have a great team that is excited about the path forward. Turning to slide five, let me now take you through our fiscal Q3 results. For the quarter, sales of $2.6 billion were 3% above prior year on stronger volumes across all of our segments. Pricing was up 1% and underlying sales were up 4%, excluding the excluding the polyurethane intermediates or PUI business. Sequentially, overall sales increased 2% with underlying sales up 4% on higher volumes in our three largest segments. As Seifi mentioned, we are focusing more sharply on cash and specifically EBITDA or earnings before interest, taxes, depreciation and amortization. We have provided you a reconciliation in the appendix of the slides. For the quarter, adjusted EBITDA of $653 million was up 7% versus prior year and 6% sequentially driven by higher volumes and new planned on-streams. Operating income of $440 million increased 8% versus prior year as we delivered operating leverage on higher volumes particularly in electronics and performance materials and we delivered better pricing in Merchant Gases. Our operating margin of 15.7% improved 70 basis points versus prior year as the positive contribution from higher volumes more than offset higher cost primarily from planned maintenance outages. As we said last quarter, we expect maintenance cost to be lower in the fourth quarter. Net income and diluted earnings per share were 9% and 7% higher respectively versus last year. Our return on capital employed was 9.6%, 90 basis points lower compared to last year as a result of higher capital employed. This remains well above our 8% cost of capital. I want to remind you that the new projects we are developing, executing and operating will be accretive to ROCE over the next few years. Turning to slide six, you can see an overview of the factors that affected this quarter’s performance in terms of earnings per share. Our continuing operations EPS of $1.46 increased by $0.10 versus last year. Higher volumes across all segments increased EPS by $0.18. Pricing, energy and raw materials taken together were flat. Net cost performance was $0.05 unfavorable as higher cost primarily the planned tonnage maintenance outages and inflation more than offsets of our 2012 and 2013 cost reduction programs. We delivered on the cost reduction actions and are seeing the benefits. The impact of the PUI business exit was about $0.02. Interest expense was lower and contributed a penny on lower interest rates. Our tax rate of 24% remains unchanged. And finally, higher shares outstanding reduced earnings per share by $0.02. Now to begin the review of our business segment results, I’ll turn the call over to Corning.
Corning Painter: Thanks Scott. Please turn to page seven. Overall, the Merchant Gases segment had a very strong rebound from a challenging Q2. Volumes continue to improve. We showed good cost performance and we successfully recovered the expected portion of the Q2 weather cost. However, I want to be clear. We are not satisfied with this level of performance and certainly have opportunities to further improve this business. But that said, the team delivered on our expectations for this quarter. Merchant gas sales of just over $1 billion were up 4% versus last year on 3% higher volumes and 1% higher pricing. Volumes were lead by strong overall growth in Asia and the U.S. and Canada and positive liquid oxygen and nitrogen volumes across all regions, partially offset by lower helium volumes globally. Sequentially, sales were up 4% and volumes were up 3% as we saw accelerating volumes in Europe, continued strength in Asia and an improvement in Latin America. Our new helium plant in Wyoming is on stream and our supplier of crude helium continues to ramp production. While helium was still tight during the quarter, we began to see additional industry supply reduced tightness towards the end of the quarter. We would expect the supply and demand balance to shift going forward. Merchant gases operating income of $174 million was up 5% versus prior year and up 21% sequentially. Segment operating margin of 16.1% was up 10 basis points compared to last year and up 230 basis points sequentially. As I mentioned earlier, we recovered the expected portion of last quarter’s unusual U.S. and Canadian weather related cost and expect this recovery to continue. While we were pleased with the move in our margin, I want to comment on the incremental margin. We shared with you that we expect incremental margins on existing asset loading to be in the range of 30% to 40%. A portion of the sales growth this quarter was not incremental loading of existing assets. The EPCO sales growth was not incremental as this was in acquisition we closed on during Q3 of last year. Also, we shared a number of details regarding the China merchant market in last quarter’s call. As you have heard Air Products and the industry are challenged with the supply that has grown faster than demand. We have not made the decision to add liquid capacity in China for over 18 months but we still have some liquid capacity to bring on stream. New capacity additions don’t earn incremental returns and the pricing dynamics in China also limit margins in the near term. One note as we look to Q4. As Seifi mentioned, we’re going to see a greater emphasis on cash flow from us. As you may remember, when we sold our European healthcare business to Linda in 2012, a portion of the proceeds were contingent on a number of business retenders and we move this business to discontinued operations. The reconciliation is now complete and so we have made a payment to Linda in Q4 of about $158 million. This liability was already fully reflected on our balance sheet and so have minimal to know -- no P&L or EBITDA impact but it will affect cash flow and discontinued operations in Q4. Now let’s take a look at the merchant business by region. Please turn to slide eight. In the U.S. and Canada sales were up 8% on 3% higher volumes and 5% higher pricing. We continue to see nice growth in our liquid oxygen and nitrogen volumes with strength in the metals and chemicals markets as capacity utilization remains in the upper 70s, a full quarter of EPCO this year versus only month of last year was positive but helium argon were both down on limited supply.  As I mentioned we saw some improvement in the helium supply near the end of last quarter but still down for the quarter versus prior year. Contract signings for last year remain above last year’s strong results. Both helium and LOX/LIN pricing continue to be positive as we work hard to continue to recover the Q2 weather impact in LOX/LIN. In Europe sales were up 6% versus last year due to currency as volumes were down 1% while prices were up 1%. LOX/LIN and LAR volumes were positive but were offset by lower helium and cylinder volumes. LOX/LIN volume growth was solid in central and north Europe and we were pleased to see strong end user volume growth in Southern Europe. While construction remains weak and cylinder volumes were down versus last year, we were also encouraged to see slight sequential improvement. Contract signings for the quarter were up significantly from last year overall pricing was up slightly for the first time in a year and half as LOX/LIN pricing was flat and both helium and cylinder pricing showed improvement. The team is very focused on aggressively managing pricing. LOX/LIN plant loadings remain in the high 70s. We were pleased to announce the installation of a new air separation unit for AGC Glass in the Czech Republic, Asahi Glass, the world’s largest producer of flow glass is seeing real benefits from the new plant that are helping them to meet their goals to produce the highest quality glass in an increasingly competitive market. A great example of our industry expertise enabling us to growth relationship that began in also 20 years ago. In Asia, sales were up 5% versus last year on 6% higher volumes and 1% lower price. LOX/LIN and LAR volumes continue to be up double digits in China and across the whole region while helium was down on supply limitations. With the strong volume growth planned loadings have moved up to the high 70s despite capacity additions. Contract signings for the year remain above last year’s strong results. Pricing was down in the LIN, LOX and LAR business particularly in China driven in part by the whole steel market while helium pricing was up.  We shared a fair amount of detail on the China merchant market in last quarter’s call. As we said, we expect the supply demand dynamics to be challenging for a few years but it is encouraging to see an increase in our utilization rates. We remain focused on using our applications expertise to help our customers improve throughput, reduce environmental impact and lower cost while creating new demand for industrial gases. In Latin America, underlying sales were up 4% while currency reduced reported sales by 12%. Brazil volumes were up and we saw a slight improvement in the Rest of South America but slower growth global economic demand, mitigated growth in Chile. We are seeing the benefits of our cost reduction focus on our business. LOX/LIN plant capacity utilization remains in the mid 70s.  Now let me turn the cal over to Steve for a review of our Tonnage and Equipment and Energy segments.
Steve Jones: Thanks, Corning. Good morning everyone. Please turn to slide 9, excluding PUI tonnage gases grew profit this quarter as the positive contribution from new projects and strong base business demand overcame the expected negative expense and volume impact from a higher level planned outages. Base demand particularly hydrogen in the U.S. Gulf Coast system remain strong. Overall sales of $835 million were down 1% versus last year. Gases volumes were up 2%, a strong U.S. Gulf Coast hydrogen demand and a positive contribution from new plants, more than offset the maintenance outage impact. I know many of you have asked about the potential impact of lighter, sweeter shale oil on the U.S. Gulf Coast hydrogen demand. As you can see from our results over the last few quarters, we continue to see our customers running hard with significant hydrogen demand. While shale oil availability may moderate hydrogen demand growth going forward, our U.S. Gulf Coast customers are also adding heavy Canadian oil sands to a crude slate which bring significant hydrogen demand. And low cost natural gas creates an operating cost advantage for the refiners, allowing them to profitably export refined products. Overall, we may see some growth moderation but see no risk to our existing assets. Lower PUI volumes impacted sales by 4% or about $35 million and about $0.02 of profits. As a reminder, we fully exited this business in Q1 of fiscal year ‘14 and for the full year still expect PUI sales down about a $140 million and about a $0.l0 EPS headwind. Excluding the effect of the PUI’s business exit, operating income was up 3% versus prior year as the positive contribution from new plants overcame higher maintenance cost. Despite the cost and volume impact of the outages, our team executed well. Our maintenance cost is on budget and as we said last quarter, we expect to see a significant reduction in plant maintenance activities in the fourth quarter. We continue to execute on the projects in our backlog and while we may see the typical slight large plant schedule changes, we are seeing our customers successfully start-up their facilities. We talked last quarter about bringing on stream our new world-scale hydrogen plant in St. Charles, Louisiana. Just in time to provide volume to customers as other plants were down for plant maintenance, a great example of the value of world’s largest hydrogen pipeline network.  Now please turn to slide 10, Equipment and Energy segment continues to see strong growth as our leading LNG position had a positive impact on sales and backlog. Sales of a $104 million were up 1% versus prior year while operating income of $70 million was up 9%, higher margin LNG projects and less lower margin ASU activity drove the profit increase. The backlog of $584 million is up significantly, as we announced the PETRONAS second floating LNG project order and received other customer awards that have not yet been announced. The PETRONAS order represents Air Products third LNG order for the developing floating LNG market, great result for our technology and our team. Overall, LNG project development activity remains high.  Now, I will turn the call over to Guillermo for review of our Electronics and Performance Materials segment results.
Guillermo Novo :  Thanks, Steve. Please turn to slide 11, the Electronics and Performance Materials segment delivered another strong quarter as both businesses showed good volume growth and robust leverage to the bottom-line from our cost improvement actions. Segment sales of $618 million, were up 9% versus last year, driven by 9% higher volumes. Versus prior year, electronics sales were up 6% with strength across all segments. Advanced materials showed strong growth as our customers’ ramped production of their next generation nodes driving demand for our materials. Process materials also saw volume growth and moderation of recent pricing pressure. Tonnage grew our new projects on streams and the equipment business was positive versus last year. Sequentially electronics sales were up 2%. Performance materials was up 12% versus last year, as we saw strong growth across all regions and product lines. In fact this was a record volume quarter for the PMD business as we benefited from improved global economic demand, share gains and successful new product introductions. Sequentially sales were up 7%, higher than the typical seasonal improvement. Operating income of a $107 million was up 23% and operating margin was up 200 basis points to 17.3% as leverage from higher volumes was expanded with cost performance. We remain on track in our delivering, on our business restructuring and cost reduction programs. Sequential operating income was flat and margins were down 80 basis points compared to very strong Q2. Now, I will turn the call back over to Seifi.
Seifi Ghasemi:  Thank you, Guill. Now please turn to slide number 12. Our guidance for the fourth quarter is for earnings per share of $1.60 to $1.65. We do appreciate that this represents the significant increase from the third quarter and you can see it will be the highest quarterly earnings that this company has ever delivered. But this is what we have already promised to our shareholders during the last call and we will do our best to deliver what we have committed to. We have been pull all the operating levers under our control to deliver these results.  With respect to capital expenditure, we estimate about $2 billion for the fiscal year. I think it’s also appropriate to make a comment on our energy from waste project in Tees Valley, in the United Kingdom. We planned to begin commissioning the first project late in first fiscal quarter of 2015 and currently expect commission operation late in second fiscal quarter of 2015. I should also add that I’m fully aware that all of you want to know when we will communicate more about our strategy going forward. We just do this and give you an update in less than two months in mid September and by early calendar of 2015, we will have an investor conference when you will meet our team and we will report on the progress we have made in implementing our strategy. But today, I want to touch on another part of our effort to move that products forward that is our company culture. Please turn to a slide number 13. Our company culture is an important and essential part of implementing our strategy. I want to assess the words Air Products culture. We are a global company operating in more than 50 countries. Our people in these countries have their own unique cultures and we fully respect all of those diverse cultures. What I’m defining to in this slide is the Air Product culture that is the principals that we will follow when we are at work at Air Products. We will relentlessly focus to achieve outstanding and world class safety performance. Our goal is nothing less than zero accidents and incidents. We will work very hard to simplify our organization and we will focus everyday to simplifying our work processes so that our organization will move forward. I am very focused on this issue of simplified organization and simplified work processes because I think that is the key to improving our productivity. We will perform our job in the sense of urgency, we believe that the speed of execution is a competitive advantage. And finally, we will act with self confidence, believing that we can set high goals for ourselves and have the ability to achieve them. A positive can do attitude and culture at Air Products is a key element of success as we move forward.  Now we will all be delighted to answer your questions.
Operator:  (Operator Instructions) And our first question comes from Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley:  Thank you and good morning, everyone. Seifi, I respect that you are not ready to talk about the go-forward yet. I am just wondering if you can kind of give us an overview of your macro view of the world. I am particularly interested in how you think about growth going forward in Europe and China both from a high level and then maybe from an industrial activity perspective.
Seifi Ghasemi: Well, first of all good morning. I will be happy to do that Vincent but I will make a few comments and then I will ask it to turn it over to Scott, to give you a more detailed view of this but overall we see into economic activity in the United States. Overall Europe is kind of a stable and we do see significant improvements in certain parts of Asia, but as I said I will like Scott to make more detailed comments on that.
Scott Crocco:  Hi Vincent, good morning. So, our view of the economy here for fiscal ’14 is very much in line with what our expectations were when we entered the fiscal year. So, just to remind you we will talk about in terms of manufacturing output for fiscal ’14 we had projected manufacturing output to be up year-on-year from 2 to 4% and again we are expecting this is the year coming like that. In U.S. we also expect to see 2% to 4% year-on-year growth. In Europe 0 to 2% so the lowest area of growth recognizing it’s also coming out of the recession the latest of all the different regions. In Asia, we have the projection of 5% to 7% manufacturing output growth year on year principally driven by China. And then in Latin America for the one area we had a range at beginning of the year of 1% to 3% year on year growth frankly that’s the one are that’s coming in at the low end of the range and perhaps below the low end of the range. But again overall we’re seeing the economy in terms of manufacturing output play out larger like we expected when we began the fiscal year.
Vincent Andrews - Morgan Stanley: Okay, just as a follow-up, in Electronics, the equipment trends that were very strong in the prior quarter appear to have continued this quarter and my sense was that that was going to slow down. Has something changed and will this continue going forward?
Seifi Ghasemi: I’ll have Guillermo answer that please.
Guillermo Novo: Good morning. The equipment orders are strong. We expect them to continue to remain strong through this year early part of next year and then start tapering down towards the backend of next year.
Vincent Andrews - Morgan Stanley: Okay, thank you very much I’ll pass it on.
Seifi Ghasemi: Thank you.
Operator: We’ll take our next question from John McNulty with Credit Suisse.
John McNulty - Credit Suisse: Good morning. Thanks for taking my question. And good luck to you Seifi in your new role.
Seifi Ghasemi: Thank you, John.
John McNulty - Credit Suisse: So I guess a couple questions. With regard to your big focus on cash flow and cash generation, can you walk us through at least the types of metrics you think are important in terms of how we would be judging free cash generation for an industrial gas company? 
Seifi Ghasemi: Well, I think that the key area of focus is to make sure that you do projects that do generate cash that means that we will take a look at our hurdle rates to make sure that we have the kind of hurdles rates that then when these project come on stream they do generate the kind of cash that we would want to have. Are you referring to the absolute number John or just the relative number?
John McNulty - Credit Suisse: Yes, if you’ve got a specific say target for say a best in class that’s more along the lines of what I was getting at.
Seifi Ghasemi: Well, it might be a little bit too soon for me to give you a target John. But we do hope that we will generate a lot more cash than depreciation obviously. So that what we want to do is that we want to be free cash positive even after dividend that’s for sure I’ll go.
John McNulty - Credit Suisse: Great, thanks. And then just as a follow-up, I know it is a little bit early in the process, but it sounds like you have had an opportunity to meet with a lot of the people at Air Products and I am sure review the business at least to some degree. So I guess I'm wondering at least at your first blush would you say there are any major issues with regard to the long-term contracts that may not be fixable quickly or would you say some of the operational difficulties for Air Products over the past and maybe the underperformance is more of an operational focus that is something that could be fixed?
Seifi Ghasemi: John I do not see any significant problems that cannot be addressed and cannot be fixed. Our job over here is not to find excuses and complain about the past our job is here to move forward and deliver results. And whatever issue is there, there might be Air Products is a great company, great people and we will be able to address them and solve them. I am very positive and very excited about being here. We have a lot of projects we have a lot of exciting things to do some of them more difficult than others. But that’s what makes life exciting and that’s what makes discovery exciting, and my team over here is very energized. We will climb many mountains. We need to climb up in order to create value for shareholders John.
John McNulty - Credit Suisse: Great, thanks very much Seifi and good luck again.
Operator: We’ll now move to Duffy Fischer with Barclays.
Duffy Fischer - Barclays: Yes, good morning. Seifi, just following along on your point too of kind of elements of success around the capital allocation, I am wondering if you can talk a little bit about your higher return standards going forward, maybe as they would be used as a lens to look at some of the stuff that investors have argued back and forth in the history -- so coal gasification on-site in China, Tees Valley in the UK, the Indura acquisition and then kind of build it and they will come liquid capacity historically. As you look back at those capital decisions, can you walk through how you think those would fare in a new going-forward Air Products?
Seifi Ghasemi: Duffy first of all good morning. My job here is not to second guess anything the company has done. Right now as the CEO of the company I own everything whatever it is it’s Air Products and my job is to look forward not backward. The one thing that I can tell you is that we will look very carefully at every investment and make sure that the returns are risk adjusted based on the circumstances. Obviously if you are doing a project in the U.S. versus we are doing a project somewhere else the risk elements are different. So I do not want to give you a target because then that’s all competitive advantage I don’t want to announce our targets and our strategy on a public call. But the one thing that I can assure you is that we will be looking at all of these targets very carefully and I made the general comment that we will raise our hurdle rates, yes.
Duffy Fischer - Barclays.: Okay. And then you also made the comment that, as you talked to folks throughout the organization, they were ready for change. As an employee, what kind of change should I expect to see over the next year? Is it getting leaner, do we have major cost reductions we need to go through? Is it hustling more to go out and get new business? What kind of changes do you want to drive in the organizational look of Air Products going forward?
Seifi Ghasemi: Well, I think I’ve tried to address that in my last slide which was fundamentally creating a culture which is focused on delivering results. We are not running a country club here we are running a company. And everybody needs to contribute and pull their own weight that is the key issue. And I think people are ready for that, they understand that. And with respect to I delineated for you the focus on safety fortunately that already exist at Air Products and I am very happy about that, simplifying our organization, decentralizing our organization and a sense of urgency to get things done.  And I think as I said at the beginning, I have met with a lot of people. I am very encouraged about what I have seen. There is a very positive attitude and there is a great deal of pride in this company and people are going to rise up to the occasion and deliver and become the best gas company in the world.
Duffy Fischer - Barclays.: Great, thank you very much.
Seifi Ghasemi: Thank you.
Operator: From Citi we’ll now take P.J. Juvekar.
P.J. Juvekar - Citibank: Thank you. Seifi welcome to Air Products.
Seifi Ghasemi: Thank you very much.
P.J. Juvekar - Citibank: Air Products has spent about $4.5 billion in CapEx in the last three years, but that hasn't really shown up in earnings. So what is your understanding so far why we haven't seen that impact yet?
Seifi Ghasemi: Well, on that front the general comment that I had is that a lot of those CapEx has been spent on long term projects. I mean you need to judge us on the performance of these projects over the next 15 years better than on the first year that had comes in operation. Projects get delayed so the customer is delayed and all of that. So, I don’t think there is anything basically wrong with these projects and in time we will see the returns. Our job is that while these projects are coming on stream is to significantly improve our existing operations so that you see that at a better returns and better performance on a short term basis while these projects kind of get on line in the future and deliver the results. So, improving the short term results is something that we need to do that comes from improving productivity, increasing prices and all of the other things that one needs to do.
P.J. Juvekar - Citibank: Thank you. You have a plan of a decentralized model. Do you believe Air Products is too centralized and do you think decisions like pricing should be made locally? Thank you. 
Seifi Ghasemi: Thank you. Do I think that Air Products is too centralized, yes I do. I think we should decentralize a little bit more. Yes. Okay?
P.J. Juvekar - Citibank: Thank you.
Seifi Ghasemi: Sure.
Operator: We’ll now move to Jeff Zekauskas with JPMorgan.
Jeff Zekauskas - JPMorgan : Hi. You spoke about price competition in the merchant markets in China. When you look at your larger capital projects, your larger on-site projects in China over a multiyear period, do you now expect somewhat lower expected returns on capital because various piggyback efforts would be diminished by the price competition, which was probably unforeseen at the time that the projects were designed or is it independent?
Seifi Ghasemi: Jeff, that’s obviously very good question. I think Corning can answer that. Corning, please?
Corning Painter: Yes, thanks for the question. I think it’s fairly straight forward. So if the pricing comes in to be below what we had expected. Yes, it’s going to impact the return, maybe just give a little color on the China situation. So pricing right now I think has impacted impart by just real retail or wholesale price moving but also as we and others have brought on capacity very typical in the early years to low that with wholesale. And so as we get through the slug of capacity I think then there is a chance to move more and more to retail using our application skills to sell direct. And so I think we can look forward to some improvement from where we are today. And I think you can expect projects that are closer to the coast, let’s say the south of Shanghai, Pearl River Delta we’ll see that more rapidly I think in the north it trends a lot uncovering policy around the steel industry and it just take a little bit longer as we move further west. 
Jeff Zekauskas - JPMorgan: Okay. And then for my follow-up, in the tonnage discussion, you spoke about hydrogen demand in the Gulf Coast being relatively strong, but volume for the quarter was only up 2%. So what is the magnitude of the hydrogen growth and what are the specific factors or what is contracting that is diminishing the overall level of volume growth? 
Seifi Ghasemi: Jeff, another good question, I think Steve will be able to answer that. We were discussing that this morning. Steve?
Steve Jones: Sure. I guess Jeff if you look at the Gulf Coast hydrogen volumes over the last seven quarters this quarter was the highest by a fairly large margin, so good hydrogen volumes in the Gulf Coast. What kind of comes out on the other side of that was to cover balances is the outages. So, if you look at the 2% volume growth. The strong volumes from U.S. Gulf Coast and a new project impacts are offset by the outages, right. So, the outages tend to have an impact on that and particularly it’s around, so I have talked to a lot of you over the years about we have base facility charges, they are generally paid during the outages but we also on a pipeline system, we have customers and we also customers who pay, have a minimum take or pay volume. That take or pay volume is over a 12 month period, so when we have an outage they won’t necessarily take volumes and they will make that up over the next 12 months, so you do have a volume impact that occurs when you have maintenance outages.
Unidentified Company Representative :  Jeff, if I may I think when it gets to the second quarter and third quarter of fiscal year next year, I think you will be able to see good improvement in the volumes which would validate the point because we can give you the outages by then.
Operator:  We will now move to David Begleiter with Deutsche Bank.
David Begleiter - Deutsche Bank: Very good, thank you. Seifi, there is a very well-documented margin gap between yourself and your US peer. How much of that gap is gettable, do you think, and in what timeframe? And even if you can't quantify it, maybe qualify your answer in that sense.
Seifi Ghasemi:  David, can you wait another two months, so that I can address this thing in mid-September.
David Begleiter - Deutsche Bank: I will wait.
Seifi Ghasemi:  Yes, I appreciate that and then the other thing is that we always like to be number one not number two but we will address that for you in mid-September, okay?
David Begleiter - Deutsche Bank: And may be just one more thing on first blush, does this entire portfolio to you make sense i.e. from the non-gas businesses, do they make sense to you longer term in this portfolio?
Scott Crocco:  Well, I believe that the entire portfolio of Air Products right now has room for improvement therefore we are going to take a look at that and right now push for improvement rather than saying we want to get rid of this part or that part. Once we have improved the rating then we have options to take a look at. So, I just want to say nothing is for sale right now, we are all focused on improving the performance of all of our businesses and there is room for improvement in all of our businesses.
Operator: From SunTrust we will now take James Sheehan.
James Sheehan - SunTrust :  Thanks. A question for Scott. On the second-half outlook being a little bit more muted than you thought a quarter ago, is all of that in base business improvement or are there other factors that are in play here?
Scott Crocco :  So, the top end of the range that we brought down was really driven more by the on streams from the new plants and it’s just timing. It’s difficult to predict exactly which plants are going to come up when, so the second half of the year as we have mentioned has got about two-thirds of the items are specifics and one-third for base improvement and there is no change to that. And so we are focused as Seifi mentioned on pulling all the leverage that we have at our disposal in order to deliver on the year.
James Sheehan - SunTrust: Thank you. And then a question for Seifi. In terms of the way this business is organized, we've looked at the merchant business and having margins in that business potentially in the high teens when it's running at a steady state. Do you still see that as an achievable objective or do you look at the Company in a different way given your cash flow focus?
Seifi Ghasemi :  I believe that we have room for improvement and I like to turn to the gentleman who is going to deliver that for me and that’s Corning, so Corning?
Corning Painter:  So, I think we have no question in anybody’s mind in a merchant business that we can improve significantly from where our returns are now and get back to where we have historically been, I think in terms of timing and so forth I don’t want to steal Seifi’s funda for what we might say in September but absolutely positively the ability to improve this.
Operator:  And from Goldman Sachs we will now take Bob Koort.
Bob Koort - Goldman Sachs: Seifi, congrats on your move. Clearly, the market is excited. I think since the day you were announced, there has been a $3 billion market cap increase and -- you now trade at a 10% premium to all your industrial gas peers, so clearly the markets are embracing it. I'm curious, as you did your due diligence, you talked about the Company culture and what you are looking for in simplicity, speed and self-confidence. I'm assuming your view is there is quite a gap between where you want to be and where you are today. I am wondering if you could speak just a little bit about that. Or maybe what has caused that historically and how you can remove the impediments to being better in those regards.
Seifi Ghasemi :  Bob as usual you like to ask very difficult questions, right. I think that the best way for me to describe it is that we do have a lot of good people here who remember the past when they were the best in the industry and they want to get back to that. I think the key impediments to the organization in the past have been simplicity of the organization and the sense of urgency and the speed in making things happen. And the other thing is I think is the issue of empowerment. I mean your chance on it company the size of Air Products by having 1% responsible for P&L, you need to empower people to make decisions all the way down the line. So, if I wanted to kind of summarize it I think simplicity, the speed of execution and empowerment has been some of the issues that we will address and I think that would create a lot of, it has created a lot of excitement. I have spend a lot of time with our people as I said, I’ve talked to more than a thousand people here and I intend to cover all the 1,000 people but people are very excited about everything, I am not facing a resistance of pushing against the closed door. This is very exciting for me quite answering.
Bob Koort - Goldman Sachs:  So, Seifi, would it be fair to say you see it, and I agree with you. I mean if we went back to the 1980s and 1990s, you are right, Air Products was always considered sort of the premium in the industry. Is it just a function of we've had a couple decades of accumulated cultural headwind and so you think most of the change that is required is more around culture and less around assets? Is that fair?
Seifi Ghasemi:  I think as we go forward Bob, in my presentation you see what I said focusing on, I was focusing on the company culture and I think that is a significant opportunity for us then in addition to that we also need to look at the project as we go forward in terms of the returns and also in terms of the structure, our geographic focus, industrial gases is a local business, what is important is your strength in Southern Ohio, not your market share in all of the United States. So, we will focus on all of that but yes I do believe that the culture change is a big opportunity, yes.
Bob Koort - Goldman Sachs:  Terrific. Best of luck, Seifi. 
Seifi Ghasemi: Thank you very much. Looking forward to seeing you soon Bob.
Operator:  Our next question comes from Kevin McCarthy with Bank of America/Merrill Lynch.
Kevin McCarthy - Bank of America/Merrill Lynch:  Good morning. Congratulations to you, Seifi. Given your increased focus on cash flow and your employment of higher hurdle rates in the future, can you comment, Seifi, on the shape of the project backlog and how much that might decline and how much your capital expenditures might come down in future years?
Seifi Ghasemi: Well, good morning Kevin, first of all. I think that first of all what is I review is not going to add an effect in our backlog because the backlog is what we have committed and we are going to execute. In terms of what we will do in the future, it obviously depends on the opportunity but it also depends on the cash generation. One way to focus on cash generation is to cut expenditure and other one is to increase cash generation. So, we are going to focus to increase our cash generation by being more productive and doing a lot of the right things that one needs to do and getting more out of what we have but in terms of what the shape of the future will be, it will depend on opportunities, it will depend on our ability to generate the cash that we need and then we will see how it works out, I don’t see a significant drop off because we want to participate in the growth in the industry but we will obviously be a lot more careful about some of the things that we do.
Kevin McCarthy - Bank of America/Merrill Lynch: And then second, I wanted to follow up on an earlier question. I heard your comment that you don't have any businesses for sale today. But are you generally happy with the composition of the portfolio or over the next several quarters, should we expect you to evaluate businesses in order to determine whether certain businesses may be core or noncore? Will you be engaged in that way or not?
Seifi Ghasemi: Kevin, my job is to constantly review our portfolio and see what can be done to maximize shareholder value. I’m sure you heard me say that I’m not enamored with size. Size doesn’t matter, what matters is the value of our stock. So, you should expect us to constantly review our portfolio and decide what is the best course of action to create value for our shareholder, I don’t want to pre-judge that, I do want to say that from what I see, all of our businesses have room for improvement. So, it would be kind of premature to take any action before you get these businesses performing to the best of their ability.
Kevin McCarthy - Bank of America/Merrill Lynch: Thanks very much.
Seifi Ghasemi: Thank you.
Operator:  We will now move to Mike Sison with KeyBanc.
Mike Sison - KeyBanc:  Hey, good morning guys and congrats to you Seifi for coming to Air Products.
Seifi Ghasemi: Thank you.
Mike Sison - KeyBanc: Can you maybe comment on what you see is the growth opportunities in the industrial gas industry, do you think that Air Products is positioned well to participate in the growth over the next two years as you change the culture?
Seifi Ghasemi: I think Air Products is very well positioned for participating in the future because we do have the fundamental technologies that are required, I mean the future in the industrial gases in terms of growth is going to be in the areas of energy environment and all of that products extremely well-positioned in not only large ASUs but the smaller ASUs, mid-sized ASUs. We are world leaders in hydrogen and micro applications. So there is opportunity I do not see Air Products having a technology gap to prevent us from participating on those growth areas.
Mike Sison - KeyBanc: Okay, great. And just as a follow-up, when you think about decentralizing the business and maybe the way you organize your segments, is the right way to manage an industrial gas business -- is it by segment like you have it now or is it by region? Any major changes in the way your operating management will be set up?
Seifi Ghasemi: Can I answer that question for even in middle of September so that I don’t get it ahead on myself?
Mike Sison - KeyBanc: Absolutely.
Seifi Ghasemi: I would appreciate that. Thanks.
Operator: Your next question comes from Laurence Alexander with Jefferies.
Laurence Alexander - Jefferies: Good morning. Two quick ones just at the end. First, do you have a metric for how much outages have been a drag to cash flow or EBITDA over the last three years? And secondly, in the past, there has been a tension between the Air Products long-term growth and [Indiscernible] focus and the stock market's relatively short horizon sometimes. And as you are looking at the realignment of the business, are you willing to invest in things near term because you see the cash flows three, four, five years out or are you committing to sort of a floor, so to speak, in terms of choppiness around cash flow in the near term as well?
Seifi Ghasemi: Well, I like to Simon to make a comment on that. But before that let me just say we are running Air Products for the long term, and this is not something that we are going to do to make ourselves look good in one year and then damage the company in the second year. I mean Air Products is going to be here for another 200 years and we are going to run the company properly for the long term, so just wanted to make that comment. But I’d like Simon to make a comment on the other two issues that you raised and also Scott if you want to. Simon?
Simon Moore: Laurence, just a couple of quick numbers, so as you know, we said this year we’d expect to manage cost we are at 2% headwind versus prior year. Fundamentally on average our total maintenance cost for the company is about $250 million a year of expense audit fees to so it’s also a capital component as well. So hopefully that frames it and we can follow up later on if you’d like.
Seifi Ghasemi: Okay, thanks Laurence.
Operator: From Susquehanna Financial we’ll take Don Carson.
Don Carson - Susquehanna Financial: Yes, hi, Seifi. Two questions, one on the capital structure side. Traditionally industrial gas companies have been pretty conservative on wanting to maintain an investment-grade rating. Are you willing to lever the Company up more to perhaps return cash to the shareholders a little quicker than you might get from an operational improvement in cash flow? And then, secondly, as you look at your North American position, do you think you are disadvantaged by not having a cylinder gas position to take advantage of this long forecast manufacturing renaissance?
Seifi Ghasemi: First of all, good morning, Don. Last time you asked me a question about industrial gases it was about 20 years ago but anyway good to talk to you again. I am, first of all we do value our investment grade rating and we would want to maintain that unless a phenomenal opportunity comes about but I don’t foresee that right now. So, maintaining investment grade is important to us. As far as the lack of the so called package gases business in the United States, I don’t consider it a significant disadvantage it’s something that is nice to have but is not a must have. If we can create that at a reasonable cost and a reasonable price that would be something that we will look at. But I do not consider that to be a significant competitive disadvantage we can compete the way we are.
Don Carson - Susquehanna Financial: Thank you.
Seifi Ghasemi: Thank you. We have time for one more question.
Operator: Our final question will come from Mark Gulley with BGC.
Mark Gulley - BGC Partners: Yes. Return on capital was not mentioned either in your slide 4 or your later slide about the Ses. Can you comment on the fact that Air Products has been below double-digit ROC and how you might see that metric going forward?
Seifi Ghasemi: Well, I think that our ROC is going to kind of not improve very quickly in the short term because we have a lot of CapEx that is being spent that is not currently generating revenue. So I would see that being going down but our goal is to increase the return on capital to what I think the industry is capable of delivering which is to up to 13%, that is obviously will be our goal. But I think in the short term I mean you know this Mark in short term we will while these projects are being built you obviously have depreciation without much profit against it.
Mark Gulley - BGC Partners: And then if I dispose with an observation I welcome as well as others do the fact you are showing EBITDA for the company. You may want to show EBITDA for each segment as well so we track back to.
Seifi Ghasemi: We will, we will show EBITDA for the segment, for the business unit. EBITDA will be what we will guide us in terms of not only measuring performance but also for our reward system that we will be very focused on that market. And thank you for your remark, I appreciate that.
Scott Crocco:  Okay, thank you very much everybody. We do appreciate your participation in the call and we look forward to seeing many of you as we go on the road on next call. Thanks again and have a great day.
Operator:  Once again ladies and gentlemen that does conclude today’s conference. Thank you for your participation.